Operator: Good morning. This is the conference operator. Welcome and thank you for joining the Saipem Nine Months 2023 Results Presentation. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Alessandro Puliti, CEO and General Manager. Please go ahead, sir.
Alessandro Puliti: Good morning and welcome to Saipem Nine Months 2023 Results Presentation. I'm here with our CFO, Paolo Calcagnini, and with the rest of Saipem's top management team. Starting with the highlights of the third quarter 2023. I'm pleased to report that the third quarter of 2023 was another quarter of strong execution and delivery. We generated a robust revenue growth of 6% year-on-year and 9% quarter-on-quarter, driven by both our offshore and onshore engineering and construction businesses. EBITDA growth was also strong at 26% year-on-year and 5% quarter-on-quarter, driven by all our businesses. In particular, in the third quarter of 2023, we posted the highest EBITDA since Q4 2019, and we have grown EBITDA for the seventh quarter in a row. EBITDA margin stood at 7.6% level, reflecting the progress made on E&C Onshore projects. At the end of September, we reached a record level net cash position of EUR125 million, also thanks to the issuance of the equity [Technical Difficulty] is in line with the objectives of our strategic plan. The order intake of 2023 provides us a high level of visibility in terms of revenues for both 2024 for which our expected revenues are very close to be fully covered and 2025 for which our expected revenues are two-thirds already covered. In the next few quarters, our vessels and engineering capabilities will be operating close to full capacity. The second point is that progress in the execution of legacy projects continues a sustained piece. Those projects today account in our backlog for EUR2.2 billion, corresponding to less than 10% of the total. We have now completed the installation of all jackets in the NNG offshore wind project. This is an important achievement of which we are particularly proud, especially considering the technical challenges encountered in the initial phase of the project. The last point is that in late August, we have taken advantage of strong market conditions by issuing a six-year equity-linked bond, further optimizing our financial structure and extending our debt maturity. And let's now focus a bit more on the evolution of the cash flow generation of Saipem. As you can see from the chart on the left side of the page, the operating cash flow of the last six months is now positive and has been the highest recorded in the last four years. This is true both including and excluding cash flow impact of legacy projects that were part of the backlog review of January 2022. This is a tangible proof of our renewed focus on cash flow generation, both at top management level, but most importantly, also the level of each team managing the single projects. In addition, looking at the right side of the page, you can see that after the completion of the 2022 capital increase, we have further improved our net financial position by more than EUR200 million in line with the objectives of our strategic plan. I will now hand over to Paolo for a review of the financial results.
Paolo Calcagnini: Thank you, Sandro. Thanks, everyone, for joining the call today. I'm referring to page eight, where we show the first nine months 2023 results compared to the same period of 2022. First, it's worth noting that we had no special items in the first nine months this year, while in the first nine months 2022, we had EUR13 million of nonrecurring costs. As you can see, we reported a net result of EUR79 million, recording the third quarter -- for the third quarter, a positive net result, in line with the second quarter of this year. This is the second positive quarter in a row at the net income level. More important, looking at the first nine months, this is the best result since 2014. Revenues were up 19% year-on-year to EUR8.4 billion. EBITDA grew by 44% to EUR640 million. The adjusted EBITDA has grown accordingly from 6.3% to 7.7%, notwithstanding the dilutive impact of the projects that went through the backlog review last year, whose relative weight is higher this year compared to 2022. Revenue growth has been consistent across all geographies and supported by stronger demand by our clients, a solid execution and a good supply chain management. Now, moving to the different businesses and starting from the asset-based services on page nine, which includes the offshore engineering and the offshore wind activities. Revenues were EUR4.1 billion. This is a 15% growth year-on-year thanks to a positive contribution of most projects across virtually all the geographies and segments. The EBITDA stood at more than EUR400 million, with a margin of 10% on revenues, increasing by almost two percentage points versus the first nine months 2022. The key drivers are a more favorable revenue mix with a higher share of subsea activities, a solid operating performance and a higher utilization rate of the main vessels of our fleet. As Sandro will elaborate later, we are very satisfied with the progress, both on oil and gas and wind offshore projects. In fact, as you may already know, we have recently completed all the offshore installation activities for the NNG wind offshore in Scotland. In light of these results, for the full year 2023, we confirm our forecast of revenue and EBITDA growth compared to 2022. As we are going to progress on the execution of the backlog acquired mostly during the market downturn. And with the growing contribution of projects awarded in 2023, which accounts for less than 10% for the first nine months this year. Moving to the Drilling Offshore. Revenues are up 30% year-on-year. EBITDA plus 62% compared to 2022, reaching EUR216 million with an EBITDA margin which is just above 40%. The performance improvement came mainly from two factors. The increase of the market day rates especially for deepwater vessels and the higher utilization in the first nine months of this year, for example, the two Semisubs, Scarabeo 8 and Scarabeo 9 in the same period of 2022 went through the maintenance activities and also the Perro Negro 8 didn't work beginning of 2022 compared to 2023. For 2023, we confirm a solid improvement in both revenues and EBITDA margins year-on-year, thanks to a combination of better market conditions, higher daily rates and better utilization of the fleet, including a lower impact from cyclical maintenance. Moving to the slide number 11, where you see the energy carriers. Revenue grew by 22% year-on-year, pushed by higher volumes in the Middle East, sub-Saharan Africa and Americas. That's more important, this came as a consequence of the increase in the pace at which projects have been executed and therefore a signal of healthy operations. On the other hand, EBITDA margin is still over close to zero for the reason that we already discussed several times during our quarterly presentations. First, the weight of the zero margin projects coming from the backlog review is still material on overall revenues. And second, the project ratio in onshore is longer than in the offshore business and margin recovery takes more time. For the remainder of the year, we will keep progress on the execution on the zero margin backlog review projects. And as such EBITDA margin will remain relatively low. Let's have a look at the overall P&L, which is in page 12. As already mentioned, in the first nine months of this year, we didn't have any special items. So the reported results are equal to the adjusted results. While in 2022, we had EUR13 million of special items at EBITDA level, mainly related to COVID-19 costs. Reported net results in the first nine months of 2023 was positive for EUR79 million. In Q3 only, we generated almost EUR40 million in net profit, in line with the positive results already achieved in Q2. This is the second quarter positive in a row at net income level, something that we hadn't seen since 2019. Let's have a look at what happened below the EBITDA. Net financial expenses were EUR133 million. This is a bit higher than 2022 with as a combination of a few components. Net interest and fees were almost in line year-on-year, while we experienced some increase in the hedging cost, especially on our exposures in US dollars. The positive results from equity invested -- results, sorry, from equity investments were positive by EUR30 million in the first nine months of this year, while they were negative for EUR24 million in the same period 2022. Income taxes amounted to EUR117 million, a bit higher year-on-year. This is mostly connected to the taxes that we pay as withholding taxes mostly on revenues in certain geographies, which is a physiological trend when the business is recovering. Moving to slide 13 with the net debt evolution and cash flow generation. End of September, we had a net cash position of EUR125 million before IFRS 16, EUR19 million better than the previous quarter and EUR7 million higher than the beginning of this year. As for the previous quarter, in the chart for the benefit of clarity, we split the operating cash flow in three components. First, the net results plus D&A that was positive for more than EUR400 million. Second, the reduction in working capital that made a positive contribution of EUR138 million. And then, as a third component, the cash outflow of the backlog review project that was more than EUR330 million, reflecting the progress that we are making in the execution of legacy projects. The overall operating cash flow, excluding the backlog review, so if you like, on a normalized basis was EUR550 million in the first nine months, which we see as a very promising result going forward. Finally, CapEx in the first nine months amounted to almost EUR210 million, mainly related to fleet maintenance. We expect this figure for the remaining of the year to be in line with the guidance provided to the market. Finally, the net debt post IFRS 16, end of September, was EUR171 million, if you sum up the effect of the lease liabilities. Moving to slide 14, let's have a look at the liquidity and debt structure before handing over to Sandro. Since the last result presentation in July, we have repaid EUR600 million of debt and issued EUR500 million of new bonds in September. The combination of these two actions allows Saipem to reduce the gross debt by EUR100 million and more important extended debt tenor by more than one year, while the cost of our liabilities remain substantially unchanged. As you can see from the waterfall chart with the blue bars, our liquidity position increased in terms of debt coverage going forward with available cash virtually able to fully meet also the 2026 maturities. I will now hand over to Sandro for a few comments on the commercial and operational performance.
Alessandro Puliti: Thank you, Paolo. So now we move to the operational update. First of all, our order intake so far this year has been particularly strong, totaling more than EUR15 billion. As you can see, about two-thirds of the awards relate to our asset-based service division, accounting for EUR10 billion. In particular, the new projects awarded year-to-date include around EUR3 billion of subsea activities. Overall, the asset-based service award intake so far this year is very high in quality and also quite diversified in terms of clients and geographies. On energy carriers, we continue to be very selective in the acquisition of new projects. In the third quarter, we have been awarded a project for the reconversion of the Scarabeo 5 semi-submersible drilling vessel into a floating separation and boosting plant. The most significant award of the year is undoubtedly the Hail and Ghasha $4 billion project in Saipem share. We will cover in more detail the Hail and Ghasha project later in the presentation, but for the moment please just note that its scope of work will pertain both to the asset-based services and the energy carriers business lines. Lastly, as far as offshore drilling activity is concerned, our Pioneer jack-up vessel has received an 18-month extension of its original contract. And let's now have a look to the evolution on our backlog. We are pleased to highlight that our backlog has increased by 40% in the last two years. But most importantly, our backlog has progressively shifted towards E&C Offshore activities, which now account for more than 54% of our total backlog from 33% at the end of 2019. In absolute terms, our E&C Offshore backlog has more than doubled in the last two years and it currently stands at a record high level of EUR17 billion. In particular, the subsea component of such backlog currently stand at EUR4 billion. And let's now focus on the recent Hail and Ghasha Award. The contract was signed at the beginning of October. In particular, Saipem, in consortium with NPCC was awarded the package one of the overall development. Our share of the award accounts for $4.1 billion, which will be split approximately 45%-55% between our offshore and onshore E&C business lines. The award is in line with Saipem's unique capability to deliver integrated onshore and offshore projects, providing its clients with a single interface for complex full-field development. The project will also Saipem to further consolidate its presence in the Emirates, leveraging its existing engineering center and logistic base in Port Khalid. Saipem expects to utilize primarily its Endeavour pipeline vessel for this project. And now let's have a look at our problematic backlog. In addition to winning attractive new contracts, in the last few quarters we have also steadily progressed in the execution of our legacy projects, which initially accounted for about EUR5 billion of backlog. They have been over time reduced by almost 60% to about EUR2.2 billion, currently representing less than 10% of our backlog. As you know, this problematic backlog has represented a substantial drag in terms of financial performance in the last two years, but therefore, completing this project is of paramount importance for us in order to de-risk our portfolio and further increase our profitability and cash flow generation. As far as wind offshore is concerned, the residual portion of the legacy projects refers mainly to Courseulles-sur-Mer project in France. In terms of E&C Onshore projects, the current residual backlog is around EUR1.9 billion. The overall completion rate was approximately 60% at the end of September. We expect that the financial impact of this project will still affect our results until the end of 2024. And let's now focus on our wind offshore activities. As mentioned, steady progress has been made in the last 18 months, with four projects completed and two projects nearly completed. The only remaining project to be executed is Courseulles-sur-Mer in France. The project entails the design, construction and installation works for 64 foundation supporting an equivalent number of turbines. The foundation consists of large monopiles with transition pieces fabricated by Saipem in Europe and to be installed by Saipem. The fabrication of monopiles has already been completed. We expect to start the offshore operation before year-end, starting with the activity of the jack-up vessel that will support the drilling of the foundation holes. The drilling machine is almost ready to be put into operation. And now let's have a closer look to the progress we made on the NNG project. We had a significant acceleration of the execution, particularly in the last nine months. Since we last spoke in July, we have completed both the drilling activity and the pile casing for the 56th foundation of the project. In addition, we have also completed the installation of all the 56 jackets. This essentially means that we have fully completed the offshore installation campaign with only a few minor pending items remaining before the project can be officially defined as completed. Lastly, our client has recently started the installation of wind turbine generators on the tripod foundation jackets that we delivered, as you can see from the picture in the slide. I wanted to stress that the completion of the challenging NNG project was made possible by Saipem's people through the refocusing of our existing superior technical and delivery skills. We are now looking to apply the know-how and experience gained in NNG to the upcoming Courseulles project. And let's now have a look at what we see in terms of commercial pipeline for the next few quarters. The volume of near-terms opportunities is currently worth EUR52 billion, relatively stable versus three months ago, but almost double versus last year. This confirms that the market remains very strong and active with many opportunities to be addressed. We are confident around the robustness of the current market upcycle of investments in the sector. Within this pool of opportunities, around 60% of it is offshore, representing a very good match with our commercial refocus toward the higher profitability segment. And let's now turn to the final slide of the presentation. So in conclusion, market conditions continue to be extremely supportive, as demonstrated by the sustained level of investment in the energy sector globally. Our backlog has reached record levels, shifting steadily toward our sweet spot, the offshore E&C. In particular, the order intake of 2023 provides high level of visibility in terms of revenues for both 2024 and 2025, during which our vessel and engineering capabilities will be operating close to full capacity. The execution of backlog review projects is progressing according to plan and those projects are gradually exiting to the portfolio, in particular in the Wind Offshore segment. Considering the strong results posted in the first nine months, we are today even more confident around our guidance for 2023, in particular in terms of our cash generation objectives. This concludes our presentation and I now will turn to the operator to open the Q&A session.
Operator: Thank you. This is the chorus call conference operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Alessandro Pozzi of Mediobanca. Please go ahead.
Alessandro Pozzi: Good morning, all, and thank you for taking my questions. I have three. The first one is on the substantial number of orders that we've seen being awarded in 2023 across the industry, and I was wondering whether there is a theme in terms of capacity constraint and what is your ability to win more work as you go into next year? I believe you mentioned that your fleet is close to full capacity in the offshore E&C. Does it mean that potentially you may be on the lookout for new lease vessels for next year? The second question is on the backlog. You mentioned that revenues are almost fully covered for next year, but I don't think we have the usual breakdown of the execution year for the backlog, so I was wondering if you can give us a bit more visibility of what the backlog could be for 2024 at the moment? And also whether you have included Mozambique and potentially Qatar? Can you maybe say on Qatar, what is the revenue profile of the project? Because I believe that on the onshore, I think 70% of the revenues will be generated in 2025 and 2026, and I was wondering whether you have a similar profile. And last question, Onshore E&C, a substantial increase in revenues in Q3. Was this an acceleration or is this somewhat expected? Thank you.
Alessandro Puliti: Okay. I will start to answer to your question and then I will hand over to Paolo. So our ability to carry on further activities and further order intake, considering the current request of the market and the capacity of delivery of the industry. So it's true what we said and what you highlighted. It's true that we are almost at full capacity for 2024 and we are two-third of our capacity already booked for 2025. So the next order intake will be necessarily covering the period from 2026 to 2027. And we are seeing many opportunities coming in this period. So what I can see for the future, we will remain fully booked almost for the next four years. Clearly, we have just to serve the market of the vessel, as you know, we anticipated this wave, this positive wave of the market, and so we took for the, in terms of offshore installation vessel, the JDS 6000 back. And this will start operation in a few months at the beginning of next year. So this will be an add-on to our fleet. Again, this was took on a long-term basis and it is almost fully booked already. We took on the drilling activity on rental basis, the DVD drilling ship that has already started to work in our cost in these days. So the answer is yes, we have increased our delivery capacity and we have been also taking new Jack-ups to serve the -- again on this basis to serve the market in the Middle East that they will enter in service from now to the end of the year. We are speaking of three new units in the Middle East. They are all under long-term contract, so revenues are assured for all the rigs and construction vessel we have been taking in the past. So that's the situation of the market. And now regarding the dates of the backlog, I will hand over to Paolo.
Paolo Calcagnini: Yes, thanks, Sandro. So, Sandro, going to the second question on the revenue visibility by year, the reason why we didn't disclose the revenues year-by-year as we normally do is because we are still doing some planning on two or three big projects. One has been mentioned a few times, which is Hail and Ghasha and the other is obviously Mozambique, where you know that we are discussing with the client to find a possible solution. So we will come with the revenue split as soon as we have enough visibility. But the important news is that we have very strong visibility on overall revenues and level of activity for the next two years. So it's only a matter of crunching the numbers to the last year, not filling the capacity for the next at least 24 months. On the onshore, the execution of the backlog, yes, we have a very aggressive plan, execution plan, and we are in line even better than expected. I think that the good news is that this is happening with good results on cash level. So the cash we are spending on the backlog, which is being executed even faster than expected has not prevented the group to report positive free cash flow, which I think is the best piece of news in -- when it comes to executing the old backlog.
Alessandro Pozzi: Okay. Thank you. Just going back on the question about the vessels in the offshore E&C, I mean, would you be happy to add more vessels on top of what you have already leased?
Alessandro Puliti: We are now running really at our full capacity to manage vessels. What happened is that more than adding a new vessel beyond the JDS 6000, as I was mentioning before, what we are doing is that we will keep running in our fleet also some vessels that are pretty old, but they are still doing an excellent job, like Saipem 3000, that in the previous plans was due to be disposed. Instead, we will keep it operating. So in a way, this is a further addition to our expected fleet, if you consider, for example, year 2022. So we are not dismissed any of the vessels and one vessel that was used to -- that was deemed to be dismissed will be kept in operation. And I may add something regarding Mozambique, because we were expecting this question, so I will elaborate a bit more compared to what Paolo has said. So the situation in Cabo Delgado has clearly improved and there are many reports proving it. We are in constant dialogue with Mozambique LNG joint venture and we are working for the JV to close the last point open that is the final renegotiation with those subcontractors. There is some re-tendering ongoing that will be closed very, very soon. And so we expect that in the coming months there will be clarity around this project. And so that's the situation and I'm taking exactly the same words that are coming from our client.
Alessandro Pozzi: Could it restart in Q1 or is that something for later on next year?
Alessandro Puliti: I believe that we will restart in the next year for sure. And now whether it will be Q1 or later, it's early to be said, but we think that our decision will be taken in the next coming months, and then you have the normal ramp-up time for this kind of project that clearly they are not like switches on and off, but they will require sometimes to ramp up.
Alessandro Pozzi: All right. Thank you very much.
Operator: The next question is from Guilherme Levy of Morgan Stanley. Please go ahead.
Guilherme Levy: Hi. Good morning, everyone. Thank you for taking my questions. I have two, please. The first one regarding the offshore drilling business. In a call earlier this year with analysts, I believe the company alluded to the possibility of partially selling equity in this division. So I was curious if that is still an option on the table? And if it is an option if it has advanced somehow since the beginning of the year? And then the second question, just a follow-up from the previous one. You mentioned that one of the projects that are still under discussion regarding the timeline for revenue execution is Hail and Ghasha. I was just wondering, what is the source of these negotiations at the moment? What could make Hail and Ghasha be executed earlier or later? And then given its implications to the whole energy carriers segment, I was just wondering if you could provide some color on how quickly could we see that impacting the emerging of this segment? Thank you very much.
Alessandro Puliti: So regarding the first question and our minority stake in KCA Deutag, we are currently, let's say, evaluating options, but we cannot say anything more than this. Regarding instead the Hail and Ghasha, the project has been awarded. It has a very precise schedule. The work split between within Saipem's scope of work between what it has been considered -- what it is considered onshore activity is 55% and what it is considered as offshore activity is 45%. So, this gives you the split between the two activity. And just to give you more color, why there is an onshore portion in an offshore package that it is pretty curious. Why? Because the plant and facilities that will be built on artificial islands. So this is the reason why there is an onshore skill and technicalities related to a project that is actually located offshore. So that is the reason for that.
Guilherme Levy: Sorry, in the first one, I was actually referring to the Offshore Drilling segment. If the company is considering, somehow, any partial sale, either in the shallow water or deep water division?
Alessandro Puliti: You know, in the shallow water, certainly we are looking at opportunities.
Operator: The next question is from Guillaume Delaby of Societe Generale. Please go ahead.
Guillaume Delaby: Yes. Good morning. Thank you for disclosing in even more detail than Q2, the operating cash flow losses associated with legacy projects. So, you said, Paolo, that legacy projects will basically be totally completed by the end of 2024. So, my question is, should we assume, over the next five quarters, Q4, Q1, Q2, Q3, Q4 over the next five quarters that those remaining legacy projects will continue to remove circa EUR100 million per quarter of operating cash flow?
Paolo Calcagnini: I think it's not the best assumption you can make because, in fact, the cash outflow for the backlog, the big part of it has already happened because it doesn't go the same proportion of the revenues. So you can actually expect a lower absorption of cash going forward compared to the previous quarter. So, in other words, the decrease in the size of the backlog doesn't go with the same pace of the cash which is absorbed by the backlog review projects because, in fact, we had already spent the biggest part of the cash to execute those projects. So, 2024, we expect the cash outflow from those projects to be significantly lower than 2023.
Guillaume Delaby: Wow. Thank you very much. And we are, I think, all expecting the backlog breakdown by year in the coming weeks. Thank you very much.
Operator: The next question is from Roberto Ranieri of Stifel. Please go ahead.
Roberto Ranieri: Yes, good morning, everyone, and thank you for taking the question. I have a couple of questions on financials and expectations for the fourth quarter of 2023. My first question is basically on the Hail and Ghasha project again. Could you give us an idea of down payment related to this project? And what the impact would be on net financial position in the fourth quarter? And my second question on financials concerns about CapEx. We have seen that CapEx are pretty below consensus so far. My question is on expectations. If you can give us a guidance on CapEx for the fourth quarter 2023? And my last question is on the environment on the offshore drilling. And if you can give us an indication on the average day rate. Are they steadily at the current level? So do you see any weakness in the coming quarters? Thank you very much.
Paolo Calcagnini: So let's start from the Hail and Ghasha. Yes, there is a down payment. There is a down payment, which is roughly 5% of the value of the contract. Obviously, the down payment is meant to cover part of the investments and expenses that the company will face to kick off the project. So, you cannot take the number as a net cash inflow with the entire amount, as you can easily imagine. On the CapEx, yes, it's true that we are less than 50% on the guidance. But keep in mind that investments and maintenance on the fleet depends heavily on when the vessels go into the cyclical maintenance, which may happen one quarter later or one quarter earlier, year-on-year. So, we do confirm the guidance for the total year. Also because the Scarabeo 9 will go in cyclical maintenance Q4 this year. And so yes so -- and also the Constellation. So we would probably suggest that you stick to the guidance when it comes to CapEx, even though they've been lower in the first nine months. Then, the offshore drilling, I'll leave it to Sandro.
Alessandro Puliti: Okay. Regarding offshore drilling day rate, we see a sort of stable tendency to the increase of the day rate, both on the onshore -- on the shallow water and the deep water activity. There is a sustained level of requests and we are actively participating to tender to cover further periods of our activity. So, we see basically, in general terms, the market has recovered and it is steady in this recovery line. Our fleet is fully booked and especially, I would say that what we see is a trend that is the trend of increasing the length of the contract awarded by the client. In particular, in the Middle East, I believe that we achieved and we disclosed also to the market that we had one jack-up that has been awarded a 10-year contract. This was not happening since a very long time. So there are two trends in the market, a constant rise of the rate and an increasing length of the contract being offered for spending.
Roberto Ranieri: Thank you very much.
Operator: The next question is from Peter Testa of One Investments. Please go ahead.
Peter Testa: Hi. Thank you for taking the call. I have three questions. Just firstly, if you look at the -- you mentioned earlier in the asset-based services, there was an increasing proportion of the backlog being executed from the lower margin backlog in '23 versus '22, and in any way, the margins were better. I was wondering if you had a sense of what the mixed difference was between the origin of the backlog, please? The first question.
Alessandro Puliti: So the main reason is the progress we had in the offshore wind because the NNG project, we finished, just to give you an example, our offshore installation activity at least, for example, just three weeks ahead of the plan agreed with the client. So this gives you the idea of the quality of the delivery and why we were in a way with another ahead of our progress that in the corresponding period we did in 2022. So we improved our efficiency dramatically. As you saw in the picture, our ramping up of activity on NNG has been pretty steep in the last summer, and we concluded the works ahead. Then, in 2023, we did also more activity on land because all our work inside around the world, they all recovered from the slowdown imposed by the pandemic, the COVID. So, now we are working full steam, I would say, everywhere. So, this is the main reason why, when you compare to 2022, 2023 it has been a year of higher delivery in general and, in particular, on those projects.
Peter Testa: Do you have a sense of how much the mixed change has happened in between -- in terms of proportion of revenue booked for those projects in '23 versus '22? Just so we can try to get a sense of how -- because, obviously, it's not -- it's negative for margins, but you're doing well anyway. So just trying to understand the proportionality impact.
Paolo Calcagnini: Yes. So, compared to two years, on the total, on the group results, we had an increase from almost 23% roughly of backlog review projects in terms of weight on the total revenues to more than 30% this year. That's one of the two explanations of the comments I made before on the increased margins. This is obviously diluting the overall margins as those projects come with a zero margin. The second explanation is the relative weight of the onshore vis-a-vis the offshore in the total revenues, which increased year-on-year by, I think, roughly three -- quarter-on-quarter, sorry, by about 3%. So, that explains why the margins -- that explains my comment before on the dilution, it comes from these two elements. Where we see it as good news because the sooner we execute the backlog review, the quicker we will see increasing margins and cash flows.
Peter Testa: Indeed. Absolutely. And then the other question I had related to mix going forward this time as you talked about the mix of projects, one on better terms, i.e., post the difficult period, being, I think you said, 10% or so of the revenue this year. I was wondering if you had any sense based upon the backlog, especially, again, on the asset-based services, how much of that 2024 will be executed on, say, newer projects, one, based upon your high visibility that you have?
Paolo Calcagnini: Yes, got it. I don't have the precise number, but the -- on the total revenues this year, less than 10% was coming from orders acquired in 2023 or end of 2022. This is a percentage that will obviously increase significantly next year. I don't have the precise number, but as soon as I have it, we will share it through the IR team.
Peter Testa: That's great. Thank you. And then the last question I had is, I was wondering, if you look at your vessel options or options you have to lease in long-term or acquire vessels, whether there's anything particularly outstanding that you are looking at, given the balance sheet position improving and the obviously high demand, whether there's any other particular vessel options for long-term charter or purchase that you may be looking to execute?
Paolo Calcagnini: Sorry, can you repeat your question because I think we last like 15 seconds of your question.
Peter Testa: Sure. Okay. Yes, no problem. Now, I was wondering if you could give any sense like you've done with the vessels recently, whether there's any other vessel options outstanding for long-term lease purchase that you think with the balance sheet you can now take on?
Paolo Calcagnini: We have options on other vessels, yes. And let me say that, most of them are dipping the money. We're looking at the exercise price. The decisions will follow the simple rule. If the return on the assets is higher than or let's say, double digit -- at least mid-double digits in terms of return, cash on cash we may consider buying. If it's going to be lower, it's not accretive, and we may decide not to do it. So then if you're referring to the decision to buy the Santorini one year ago was precisely made with following this criteria basically. So yes, we have options in our hands. Asset prices are going up. And so very good to be to have those options in our hands, and we will possibly execute them if the conditions remain where they are they even get better.
Peter Testa: That's great. Thank you very much for your answers.
Operator: The next question is from Richard Dawson of Berenberg. Please go ahead.
Richard Dawson: Hi. Good morning. Thank you for taking my questions. First question is on the Hail and Ghasha project. Could you provide us with a sense of what the margins are like for the offshore and onshore components? I appreciate it's probably likely price at an aggregate level, but any color on those margins would be great? And then on guidance, you've confirmed 2023 EBITDA guidance of EUR850 million. Consensus has cut currently around the EUR890 million mark. Is this sort of a level you're comfortable with? And then just a point of clarification on the CapEx guidance, is that EUR450 million for the full year? Thank you.
Alessandro Puliti: Okay. Margins on the Hail and Ghasha for both onshore and offshore are in line with the margins that we are considering nowadays for this kind of acquisitions. So, its high is high single digit for onshore and double-digit for onshore -- for offshore. That's the normal margins we are applying in all our new acquisition, following the new acquisition policy, we declared when we state that we are very selective on the offshore, and we are pursuing good opportunity for the offshore. Now, I'll leave to Paolo.
Paolo Calcagnini: Yes. On the guidance, as we said, we are even more confident that we will meet the guidance. We know that the consensus a bit higher. We see it as a sign of trust in this management team. And the most, I can say that, we will do our best and not to disappoint investors. And on the CapEx, yes, I would stick to the EUR450 million as a guidance for the reasons I explained before. So we have two important vessels that go under the five-year cyclical maintenance. And so we will not fall far from there for EUR450 million, basically.
Richard Dawson: That's very clear. Thank you.
Operator: The next question is from Mark Wilson of Jefferies. Please go ahead.
Mark Wilson: Okay. Thank you. My first question is I took it to be you are investigating strategic options for the shallow water part of your drilling business. Is that a fair understanding?
Paolo Calcagnini: [indiscernible]
Mark Wilson: All right. Very good. Thank you. And then the second part of the question is regarding the legacy projects to be completed in 2024. And just it's an understanding of any risk associated with those. So in the offshore wind Courseulles-sur-Mer, as I understand it, that is quite a large diameter foundation drilling, quite technical operation. Is there any comfort you can give us around any risks that's associated with that project? And then as regards to E&C Onshore, I think I heard that mainly this is related to the Coral project. Is that correct? And could you just explain how that will be finished?
Paolo Calcagnini: No. So on the legacy projects, we -- most of the executions will be performed by end of 2024. So what is the trend in there? We think that the provisions already made for those projects will cover the cost -- the extra cost that then triggered that almost three years ago, the profit warning. So we are confident that, there is enough provisions and cash set aside to cover the full life cost to execute those projects. And by the way, they are mostly in onshore where we are confident that delivering is going smoothly. And the fact that we are -- we have been making so much revenues in onshore in Q3 and in the first nine months without placing any extra costs compared to the projections sign that execution is going smoothly on the backlog. And on Courseulles, I leave Sandro.
Alessandro Puliti: Sure. Regarding the wind offshore project of Courseulles. We are getting ready, as I said during the presentation, to start our offshore activity by year-end with the drilling operation. The drilling machine is almost completed. And in the next week will be assembled and mounted on the J-CAP vessel. We will revert on the Courseulles projects, all the experience we gained in NNG and in all the other offshore wind projects, in particular, in foundation piling and drilling of foundation also for foundation piling. In NNG, we drilled at the end of the day, if you consider that each tripod has got three foundation piled, although they differ in diameter, but we drilled more than 160 foundation holes. So we have a backlog of experience that we will revert entirely on Courseulles-sur-Mer. So this is the engineering and construction mitigation of the risk of this project. Then we have a mitigation on the schedule because all the vessel and equipment that is necessary to carry out the project is ready to start. So I believe that we are on track for the delivery of Courseulles.
Mark Wilson: Very good. Understood. Very clear. I'll hand it over. Thank you.
Operator: The next question is from Kate Somerville of JPMorgan. Please go ahead.
Kate Somerville: Hi. Thank you so much for taking the questions. I have two. Just quickly on the onshore business, I understand obviously there's a lot of zero margin contracts in there, but just in terms of the non-zero margin contracts, over the next year or so, should we expect that to improve? Just trying to understand how to look at that in 2024 and just to confirm that you haven't signed any contracts below that high single-digit watermark that you have for new contracts? And then the second question is just on offshore. Obviously, it's been a very strong market in offshore and your peers are talking about improving margins here. Just wondering in terms of new contracts, what the margin difference is versus your existing mix? Thank you.
Paolo Calcagnini: So on the onshore, the new acquisitions are targeting a high single-digit margin below those numbers. We are not even bidding. That is what we see as being selective in onshore. But obviously, when it comes to the revenues, they come mostly from the old projects, so those acquired during the market downturn. Those are projects, low single-digit and a significant part of the portfolio still comes from the back overview. So that explains the current margin. But going forward, the targets are those I just mentioned. When it comes to offshore, well, you see we are already making a double-digit EBITDA margin, notwithstanding the fact that in the upsurge numbers, there is still some backlog, especially coming from wind, which is diluting the overall EBITDA margin. But it's fair to expect double-digit returns in offshore, which has been historically, by the way, the performance of Saipem in E&C offshore.
Kate Somerville: Okay. I just got quick follow-up. So, on the non-legacy part of your existing onshore business, there is a low single-digit. At the moment, obviously, margins are very, very low. Just wondering if, as we go into next year, you expect those to improve at all to more like 2%?
Alessandro Puliti: Clearly, next year, on the onshore, we will see progressively growing the contribution of the new projects being taken. In particular, we can mention certainly the Perdaman project that is ramping up, the Scarabeo 5 conversion, and the Hail and Ghasha project. There have been all projects with significant volumes in terms of order intake that will ramp up and where the margins are in line with what Paolo just said in the high single-digit. So, that's the progression we see in the quality of our offshore -- onshore activities sorry.
Kate Somerville: Thank you.
Operator: The next question is from Daniel Thomson of BNP Paribas. Please go ahead.
Daniel Thomson: Hi. Good morning. Thanks for taking my question. Just one on the asset-based services division. At the beginning of this year, you put out an updated four-year plan for order intake of around EUR24 billion over 2023 to 2026. We've obviously had a very strong year this year with EUR10 billion booked year-to-date. But as well, the pipeline has continued to be replenished. So just thinking how should we think about -- should we think about 2023 as the high point for order intake in the division? Maybe we go down in 2024, 2025 and 2026? Or is this maybe a target that you would revisit at year-end in light of the strength of the offshore market? Thank you.
Alessandro Puliti: So, 2023, in terms of offshore order intake certainly will be one of our highest points. But this is for a simple reason, not because we see or we envisage a market reduction in the future, but also fundamentally because, as I said, we are close to our full capacity of taking orders. So there is not much that we can grow unless we take further vessels in our fleet to carry on jobs. So that's the basis on which you can build your own expectation. But the market, what it is beyond our order intake, still remains very active. So that's a peak that it is not driven by the maximum the market was offering. That's a peak because this is the maximum we can sell to the market.
Daniel Thomson: Thanks. Okay. I mean, is there any ambition on increasing that capacity to take on more work in terms of vessels or are you comfortable with the fleet as it stands?
Alessandro Puliti: We are certainly constantly awaiting the market for new vessels because, as I said many times in these calls in the past quarters, if we were having more vessels, we could have taken more jobs. So we are constantly looking at opportunities in the market and if there is any opportunistic deal and we will have the contract for that we will strike it for sure.
Daniel Thomson: Okay. Thank you.
Operator: The next question is from Massimo Bonisoli of Equita. Please go ahead.
Massimo Bonisoli: Good morning. Just two quick questions left from me. One on, just to put into perspective your message about the full capacity utilization in 2024 as a proxy for the revenue size, can we consider the more than EUR12 billion revenue target for 2026 as a full capacity level or there could be more upside? Just to have an indication from you on the revenue magnitude? And the second question on the offshore wind project opportunities pipeline. In your strategy, you targeted about 25% of the EUR46 billion E&C planned order intake over the four-year plan on low-carbon project. Is this target still valid considering the weak return environment for the operators in the industry?
Paolo Calcagnini: So, on the capacity, I think the right way to look at the current situation is to work on value rather than volume. So we don't want to grow just for the sake of growing the top line. It's more about restoring a good level of margins. So we rather drop opportunities compared to taking additional work just for the sake of seeing the top line growing. And as the CEO just said, we are constantly considering opportunities that have been offered to site them. But this is not going to happen on a speculative basis. So we will possibly increase our capacity if we are sure that the increasing capacity comes fully covered by client demands. That remains the path we are following. And for the low-carbon activity, Sandra will answer.
Alessandro Puliti: What we can say today for low-carbon activity, as you rightly pointed out, our aim was to reach at the end of the four-year plan 25% backlog from low-carbon activity. And your challenge is that there is a bit of a downturn in the offshore wind. So do we confirm it or not? I'm confirming 25% of low-carbon activity, maybe with a bit of a different mix. Because if one side is true, that we see a bit of a slowdown in the offshore wind, especially in North Europe, but we will believe that this will soon recover as soon as the offer for the contract for this difference will balance the cost structure of this project. So we deem it as a temporary situation because it's still very strong the need of the offshore wind to satisfy the carbon reduction of all our -- all the European governments. So this will be just a matter of time of rebalancing the offer of contract for difference with the actual cost of the offshore activities. While we see growing in other sector of the low-carbon that it is everything that goes around the carbon capture and storage. And I believe that you know we have been recently awarded important initiatives, for example, from Stockholm Exergi. And there is also many activities in the pipeline around the Blue Ammonia plant. That is another sector that goes within the perimeter of the low-carbon activity that we see growing. We see much request. So we are pretty confident that a new initiative will come in this area as well. So 25% maybe with a slightly different mix between offshore wind and other kinds of low-carbon activities like CCS and Blue Ammonia.
Massimo Bonisoli: Thank you for the comments.
Operator: [Operator Instructions] The next question is from Paolo Citi of Intermonte. Please go ahead.
Paolo Citi: Hi. Good morning, everyone. I have a question regarding the onshore construction segment and the backlog evolution that they are taking, the commercial opportunities. If we look at the backlog, it was around EUR15 billion in mid-2020 and it went down to around EUR10 billion at the end of September.
Alessandro Puliti: Hi, Paolo. We cannot hear you very well. The line is very disturbed. Please repeat your question. You sound very, very far.
Paolo Citi: Can you hear me now?
Alessandro Puliti: Marginally better. Let's try again.
Paolo Citi: Okay, very quickly. My question was on the onshore construction backlog. It was at around EUR15 billion in mid-2020. It went down to around EUR10 billion at the end of September this year before increasing slightly again after the last contract in the end rate. So my question is, taking into account the current market conditions, do you expect an inversion of this trend going forward, so an improvement, an increase again, or do you think we will continue to see a shift towards offshore going forward? Thanks.
Paolo Calcagnini: So I think it's a matter of being very selective, so the decrease comes from Saipem new strategy when it comes to onshore, which is being very selective and making sure that we can make healthy margins on the business line. So, yes, there was a decrease and -- it something it's a fact. Now we acquired Hail and Ghasha, which is in between off and on and so you should add roughly EUR2 billion to the backlog when it comes to onshore. Going forward, you can expect the backlog somewhere between EUR10 billion and EUR15 billion as a good proxy. So the shift between offshore and onshore will remain at least for the foreseeable future, for the reason that we keep seeing very strong demand in offshore, so we keep acquiring big contracts in offshore, and the relative weight shifts consequently.
Paolo Citi: Okay. Thank you very much.
Operator: Gentlemen, there are no more questions registered at this time.
Alessandro Puliti: Okay. Thank you. This closes the Q&A session. Thank you everybody.
Operator: Ladies and gentlemen thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.